Francois-Henri Pinault: Good morning to all of you, and welcome to Kering's 2023 Full Year Results Presentation. 2023 was a mixture for Kering. Market conditions began to deteriorate as many of our brands were evolving their operating models. And of course, as a consequence, our performance did not match our expectations. Against this backdrop, well, we made a series of far-reaching decisions both to speed up the transition and to seize opportunities for the long term. As you've seen in the news release, I have decided together with our executive team that despite the current uncertain environment, well, we should not reduce our investment in the future. Our top priority is continue to enhance the exclusivity and the desirability of all of our Houses and of course, first and foremost, Gucci. This will cause some pressure on our result in the short term, and I am absolutely determined to make this short-term pain pay off in the long term. So this morning, I will first go over last year's key takeaways and our priorities for 2024. Then Armelle Poulou, Kering Chief Financial Officer since last September, will then review our 2023 operational and financial highlights. And then finally, together with Francesca Bellettini, and Jean-Marc Duplaix, Kering Deputy CEOs, who will be available to answer your questions. So let's start with a few key 2023 numbers. Our revenue came just shy of EUR 20 billion, and our recurring operating income resulted in a margin of over 24%. Cash flow remained strong at EUR 3.3 billion, excluding the real estate acquisition and disposal that we did last year. We globally employ 49,000 people around the world, and we enjoy the highest environmental, social and governance ratings and this is rewarding the pioneering efforts that Kering has made from the start. In line with our long-standing strategy, we dedicated much of our 2023 efforts to nurturing the desirability and exclusivity of our Houses. We continue to invest in creation to invest in communication, distribution and in our ateliers and production setup. So let's start with a look at our collections and their creations. At 2 of our Couture Houses, new creative directors were hired last year with the goal to reenergize the collections while it is very important, staying true to their respective DNA. Sabato De Sarno joined Gucci in May and presented his first collection last September. And Sean McGirr was appointed at Alexander McQueen in October. His first collection will hit the runway next month. Both Sabato and Sean will give a new impetus to this very different but highly influential brands. Our Houses staged some of the most visible celebrated shows in the year's fashion calendar last year. In addition to Gucci, the Spring/Summer 2024 shows of Bottega Veneta and Saint Laurent were acclaimed high points in the Milan and Paris in last September. Intense creativity characterizes all of our Houses as evidenced across their collections in hard as well as soft luxury. For example, Boucheron's audacious More is More collection that was launched last July, challenges the traditional understanding of what High Jewelry is about. Bottega Veneta's Andiamo line of handbags represent a modern take on the understated but relevant luxury, and that is part of the brand's idea of what we call creativity in motion. Saint Laurent women's ready-to-wear collection showed in Paris in September, continued to affirm the prominent positioning of this magnificent House. Turning to communications. 2023 was a year of in-depth reassessment of each of our Houses in order to best convey the desirability and exclusive positioning. They leveraged the full range of instruments at their disposal to effectively engage with their existing and potential clienteles. So powerful campaigns have been launched and even more are in the making, focusing both on the brand's value and culture and on specific icons and new products. In addition, our Houses carry out a steady stream of events ranging from intimate VIC engagement to large exhibitions, such as Gucci Cosmos, that was held in Shanghai and in London last year. And those events aim to strengthen the bonds with a broad base of customers and raise their understanding of our brand's heritage and cultural relevance. Providing the most gorgeous setting for our collections is an imperative to support the brand desirability. And of course, it guides our distribution strategy. In line with this priority, we've had a very active 2023. We significantly enhanced our retail network in key markets with selective openings as well as important transfers, extensions and upgrades in prestigious locations. We focused our new store openings on cities or districts offering the highest potential in terms of traffic, of course, but also in terms of disposable income. And in addition, we opened few resorts like Aspen for Bottega Veneta or Capri for Saint Laurent. We also opened new flagships such as Saint Laurent's largest store to date on Paris Champs-Elysees, showcasing the brand's new store concept in what has become a prime luxury avenue. After years long renovation, Gucci returned to its Via Montenapoleone in a flagship in Milan, which represents a new store concept, a new -- a good transition, sorry, to a new store concept that will come in the future for the brand. Other highlights of the year include the reopening of a radically transformed Bottega Veneta store, and this is on Paris Avenue Montaigne, or I could mention also Boucheron's cutting-edge Ginza flagship in Tokyo, which is the second in size after the Paris Vendome store. In addition, we are pursuing our wholesale rationalization strategy, focusing on the most exclusive partners across the world. Creating products of absolute quality is another essential requirement of all of our Houses. And this entails exercising a stringent control over our entire supply chain. In this regard, we have taken several steps last year to further integrate our product development and production, expanding existing ateliers, opening new facilities and also acquiring some of our suppliers. For example, Saint Laurent relocated and expanded its atelier maroquinerie in a 28,000 square meter site outside of Florence, a specialized Bottega Veneta shoe workshop went on stream in the Veneto footwear district, it was last June. Boucheron acquired a Paris atelier specializing in High Jewelry while Kering Eyewear bought UNT a manufacturer of high-precision components. We intend to retain flexibility in our production and greater integration, in particular, of key activities such as product development and research, enables us to strengthen in-house training to secure valuable skills and to sharpen our craftsmanship excellence. In the past few years, while sustaining core collection and the business of all of our Houses, we also invested in new categories and client experiences at some of our brands. Bottega Veneta's success in fashion jewelry is particularly noteworthy and is Gucci's continued foray in High Jewelry. Saint Laurent, for example, established a movie production unit, working with such renowned directors as Pedro Almodovar or Paolo Sorrentino, and this is to magnify the brand aura in new directions. You have all seen how taking our eyewear activities in-house gave us direct control over crucial entry-level category that we turn into a full-fledged element of each brand's aesthetics and image featured in the ads and shows. So we have grown Kering Eyewear in a meaningful way. In 2023, we added Maui Jim. So today, Kering Eyewear weights EUR 1.5 billion in annual revenues, making it the world's second largest luxury eyewear maker. Beauty and notably fragrance is another key adjacent offering that some of our Houses must control and offer directly. It is an attractive business, particularly at the top end of the pyramid. After a long and careful consideration, we stepped up the pace of our development in beauty last year, first, with the creation of Kering Beaute and then with the acquisition of Creed, a beautiful brand, highly profitable and with great recognition among high-end consumers. We have always been open to welcoming complementary Houses to our stable of brands and Valentino, a House with a long-standing Italian haute couture positioning has long been on our radar screen, and we are obviously very pleased with our acquisition of an initial 30% stake, and we look forward to the next steps in our journey together. Sustainability remained at the forefront of our strategy in 2023 as we keep pursuing our targets. We also last year defined new key milestones for the future. The year was pivotal in transitioning our model to address the environmental crisis with a dual focus on nature and on climate. We became one of the 16 companies worldwide piloting the Science-Based Targets for Nature program. And at the same time, we launched a new call for projects through the Kering Regenerative Fund for Nature. On the climate front, we announced a new objective of reducing by 40% in absolute terms our greenhouse gas emissions for Scope 1, 2 and 3 by 2035 from a 2021 baseline. Our efforts are earning us recognition from the most demanding ESG ratings. Earlier this week, we were awarded a AAA score from CDP Worldwide, the Carbon Disclosure Project, which is a clear testimony of our dedication to climate, water and nature initiatives. Innovation remains paramount. Alternative and sustainable materials are making ever greater inroads in our collection. And for example, last year, Balenciaga launched the first coat made from mycelium leather developed by an Italian startup in which we invested. In conclusion, everyone should be aware that this transformation will continue to reshape the way we do business, the way we support jobs, where we develop skills and even the way we create value. Before turning to our 2024 priorities, I would like to share with you a brief video showcasing some of the year's highlights at our Houses and activities. So now turning to 2024, as I told you earlier, our overwhelming priority is getting Gucci back on track, and I will talk to you about how we are doing this, of course. And I will also give you a bit more insight on one another major 2024 project, which is the operational launch of Kering Beaute and the integration of Creed. So let's look at Gucci first. Taking Gucci to its next stage is the main focus of our attention under the leadership of Jean-Francois Palus. In less than 6 months, he has made gigantic headways in assessing where we stand and designing the road map for the next years. Among the world's handful of mega brands, Gucci enjoys a very strong awareness, a unique positioning, spanning luxury and fashion. Its influence has always come from a subtle blend of craftsmanship Italianity heritage on the one hand and modernity and fashion authority on the other. In the past few years, however, Gucci has not kept pace with its peers. In fact, it was slow to evolve its brand aesthetic in the wake of the pandemic. Its communications messages lost focus and blurred the brand's perception. The necessary balance between fashion and exclusivity, which supports the House ability to attract a broad range of consumers was a little bit diluted. But however, Gucci retain all its strong awareness, which is a very solid base for every new start. Of course, Gucci belongs in the Premier League. Gucci is a cultural icon the world over. We leverage its unicity, its solid grounding in luxury and fashion to reach our ambitions. We are executing sharply on an evolving vision of what the House stands for. We aim to be relevant across everything the brand does, and I don't mean just products and collections. In fact, creativity and agility must be at work everywhere and not just in the studios. We are putting in place a new operating model that fits its EUR 10 billion status. The organization has always had its eyes on the next collection. Well, of course, we want to retain this agility and at the same time, strengthen our ability to plan ahead to expand our time horizon to the next 12, 24 months and beyond. We have significantly reduced the weight of wholesale, but we haven't fully moved away from, what I call, a wholesale-driven mindset. Here, we need to always put retail and clients at the core. Now we are moving faster. We are cutting down time to market and defining a new paradigm for production and merchandising. Gucci is bigger than any individual, the Creative Director as well as the corporate leadership are custodians of the brand and the House. They need to work together, respecting rules and balancing competencies. And today, with Sabato De Sarno, we have a great designer who puts his creative ability at the service of the brand to make it shine. Of course, none of this will happen overnight. The assessment stage is nearly complete and the implementation phase is underway. The new collection will gradually be arriving in stores starting this month in February. The new operating model is being implemented at headquarters, but also at regional level and new talents are joining the brands in key functions. With each step, Gucci new vision is taking shape. The strategy we are implementing rest on 4 pillars that you will see flourish in the coming months. Enhancing consideration first, means being consistent with the brand image in everything we do and staying grounded in a well-defined creative universe adhering to the brand key attributes while at the same time, reestablishing the core role of leather goods. As you have started to see, communication aimed at creating emotion, cultivating desire and amplifying the brand narrative. But there is a lot more to do. Gucci is a cultural institution. So it must live and breathe luxury in everything it touches. Another major pillar of the strategy is to enhance exclusivity at the level of product and collection, better monitoring the contribution of each individual SKUs, reducing special projects, completing the offer from the entry point level all the way to ultra-luxury products and curbing availability on certain items. In distribution, we are conducting an exhaustive review of our footprint, and we will start to close a few outlets as early as this year. A key imperative, of course, is never to compromise on quality, both in terms of products through the entire development and manufacturing cycle and of stores where a new concept fully identifiable and unique to the brand itself will eventually be rolled out. Quality of in-store experience is another area of focus and part of a broader skills improvement process. We are revising the entire structure, transforming processes and deploying resources more effectively so that our organization is truly adapted to the scale of the House. Enhancing efficiency also requires the right talents at the right place. The arrival of Massimo Vian, as Chief Industrial and Supply Chain Officer, is an important step in this regard, and there will be more announcement in the very near future. To assess our progress along this journey, Jean-Francois and his team have defined a set of KPIs relative to every dimension of the business. So as you see, we are moving with determination to get to the inflection point. Now turning to Kering Beaute. The steps we've taken in 2023 to get our beauty business up and running are laid out in more details here. We have the team in place. We have a strategy ready for implementation, the first prototype of perfumes and now the platform and production setup to get onto the next stage as early as this year. Beauty represents a sizable opportunity for top fashion players and one that we have not fully harnessed to date. It is steadily growing in sizable market. And of course, the most natural relevant starting point is with fragrances. This is a category whose essence should be fully aligned with the DNA of the brand. So to begin with, our focus is squarely on the summit of the fragrance pyramid, which is high-end and then prestige. Fragrance magnified the visibility, the desirability of Luxury Houses over greater universe, driving recruitment and widening the accessibility to the brands. So as you see, we have a straightforward road map for 2024 and the coming years. Then in Creed, we bought a century-old first-year brand that has a huge potential ahead of it, and we will drive it forward in terms of categories, particularly with women, for instance, or in terms of geography, particularly in China where it is underrepresented. We are also starting to leverage the expertise Creed has accumulated over all these years in terms of sourcing, in terms of distributor and retailer relationships, logistics or in marketing and sales. So as a result, we will be ready to launch our first fragrances for Bottega Veneta in our own stores and selective doors before the year is over. And then Balenciaga and Alexander McQueen, should be the next in line. And we will continue to scale up the business. We are convinced that we are following the right strategy here, and we are building the right platform around Creed to reach our ambitions with Kering Beaute. Our 2024 operating priorities are quite straightforward. Our capital allocation priorities are unchanged. Our healthy financial situation provides us with the resources to reestablish Gucci preeminence to get Kering Beaute off the ground and to smartly support performances across the group in a tougher environment. So we will continue to invest in all our activities with an eye on the long term. However, short-term pressures might lead us to privilege certain Houses or certain projects. The Board has approved our recommendation to maintain the 2023 dividend unchanged at EUR 14 per share. And this decision is an acknowledgment of our healthy financial situation and above all, a testimony of our confidence in the long term. And we retain the flexibility to look at opportunities that might arise even if the health and potential of our existing Houses is our top focus. In the past year, we have also taken advantage of changing market conditions to secure prime and coveted sites for our brands in some of the world's most desirable locations. That being said, when it comes to retail, I want to make it very clear that we don't intend to remain -- we do intend, sorry, to remain primarily operators and not landlords. So to conclude, we are at a pivotal moment in our journey. In our first 10 years as Kering as an integrated pure player in luxury, our top priority was to scale up our Houses, and we successfully raised their visibility and desirability. We also engage in a very selective M&A activity. And as a result, over this period, we built a powerful group. We tripled annual revenue from our luxury businesses. Organically, we quadrupled sales from jewelry, getting close to the EUR 1 billion mark. We also developed adjacencies in eyewear and now in beauty, worth close to EUR 2 billion in revenue on a full year basis. We also enjoy a solid retail presence around the world. And here in 10 years, the share of our own network and our revenue has gone from 17 percentage points, excluding Kering Eyewear. As you know, Kering Eyewear is essentially a wholesale business. And if you include Kering Eyewear, we still improved by 10 points the weight of our own stores on our revenues. So over the decade, we spent over EUR 8 billion in capital expenditures, excluding real estate acquisitions. And our communication expenses grew slightly faster than our revenues, bolstering the visibility of our Houses. I have no doubt that the strategy that has gotten us where we are in the space of 10 years is the right one, even if the recent period has not been up to our previous track record, we've been able to scale up our Houses to get them to the level of influence they deserve to turn them into serious, relevant contenders in the universe of fashion and luxury. Now we need to make them even more visible and desirable. To unleash the full potential of all our activities, our #1 imperative is to further cultivate our brand exclusivity. And it is from this perspective that we assess all customer touch points across our Houses, collections and products, communications and stores. Our new organization announced last July improve its interaction between our Houses and the corporate functions. And this is key to reaching our goals and secure the path to long-term growth of the group and all its components. And now I will ask Armelle Poulou, our CFO, to review for you our performance in 2023. Armelle, the floor is yours.
Armelle Poulou: Thank you, Francois-Henri, and good morning to all of you. Let's start with some highlights of our financial results on Slide 21 and 22. Full year revenue came just short of the EUR 20 billion mark at EUR 19.6 billion, down 4% reported year-on-year and 2% comparable. To bridge comparable and reported figures, we had a 2% positive scope impact as Maui Jim was consolidated over the whole year versus only 3 months in 2022, and Creed was included for the last 2 months of 2023. FX represented a 4% headwind, a significant swing versus the prior year. Looking at our geographical mix. The major change comes from the weight of North America down 4 percentage points to 23% of total. Conversely, Asia Pacific was up 3 points at 35% of full year revenue. The weight of the other regions did not move much. I will review the trends by regions later. In Q4, revenue was down 4% comparable and 6% reported with a 1-point positive scope impact and a 3-point negative impact from FX. '23 was a year of significant investments in our future growth. At EUR 4.7 billion, recurring operating income was down 15%. Full year operating margin dropped 320 basis points to 24.3%. The positive impact of the execution of our strategy, notably higher AURs, was partly offset by further investment in product quality and inventory management. To support our brand strategies and visibility, we sustained operating expenses, notably in communications. The H2 margin at 21.3% was further impacted by negative top line trends despite good cost control. At EUR 3.3 billion, our free cash flow generation, excluding the impact of real estate transactions, was healthy, a touch higher than 2022. Including real estate, it is close to EUR 2 billion. CapEx, excluding real estate transaction, at EUR 1.2 billion, increased by 15%. It supported the development and enhancement of our House's stores and production capacities. The CapEx to sales ratio was 6.3%. Our operating working cap stood close to 18% of revenue, a contained increase compared to the prior year. Net debt was EUR 8.5 billion at year-end after an active year on both the M&A front and in terms of real estate. In addition to Creed and the Valentino stake, we acquired prestigious buildings in Paris, securing prime locations for our Houses, near Place Vendome and on Avenue Montaigne and sold a building in London. And we paid EUR 1.75 billion in dividend, a 15% increase year-on-year. On Slides 23 to 25, a deeper dive into revenue. First, by channel, retail contributed 78% of total revenue, with the balance coming from wholesale, royalties and other. Saint Laurent, Bottega Veneta, Balenciaga, Boucheron, all generated more than 80% of revenue from retail, while Gucci exceeds 90%. In the full year, retail was unchanged in comparable terms with contrasting trends between the 2 halves, up 4% in H1, down by the same percentage in H2. In Q4, retail was down 2% comparable, a 4 percentage point sequential improvement on an easier comp base. Included in retail, e-commerce dropped sharply, down 18% comparable in the full year. It accounted for 12% of retail sales. Not including the integration of Creed, our Houses added 89 net units to their store count. Our footprint expanded on a mix of increased penetration in recent or well-established markets and conversion into directly operated stores. Wholesale and other revenue was down 11% comparable in 2023. Consistent with our move towards greater exclusivity together with the challenging situation in the U.S., wholesale was down material 21% for our Luxury Houses. The shift towards increased control of distribution does entail a dose of short-term pressure. Focusing on Q4, wholesale and other revenue were down 12% comparable. For our Luxury Houses alone, wholesale decreased by 22%. For that part, Kering Eyewear and royalties posted very good performances, up 10% comparable in the full year. Now turning to retail trends by geographies on Slide 24. In the fourth quarter, Western Europe remained in negative territory, down 8% year-on-year, a slightly better trend than in Q3. Local demand accounting for roughly 55% of the total, was still a drag but less material than in the prior quarter. Purchases by tourists were a touch below last year, the positive trend from certain nationalities, notably Chinese, not fully offsetting the drop from American visitors. Looking at the full year performance, Western Europe was roughly unchanged, although tourism spending was still 10% below pre-covid levels. In North America, after 9 very challenging months, Q4 down 11%, showed an improvement on easier comps. Most of our Houses were still impacted by lower traffic. For the full year, North America was the most challenging geography, down 18% in retail with the U.S. cluster pretty much in line with the region. Japan posted a good fourth quarter, up 13% year-on-year, yet with a sequential deceleration. Weak local demand was more than offset by strong tourism spending, representing close to 40% in Q4 and mostly coming from other Asian countries. On a full year basis, Japan retail was up 23%. Asia Pacific recovered mildly in Q4, up 8% on an undemanding comp base. Greater China accelerated sequentially, but the magnitude of this improvement was somewhat underwhelming. The Chinese cluster, up 35% year-on-year in Q4 posted a nice sequential acceleration. Trends in Korea, although still negative, also improved in the quarter. For the full year, retail in Asia Pacific was up 10%. Finally, rest of the world was broadly unchanged in both Q4 and the full year. On Slide 25, you will find our revenue by segment for Q4 and the full year. In Q4, the trends were comparable across our Houses, down 4% or 5%, but with quite different dynamics by region or channel. Revenue from the Kering Eyewear and Corporate segment was up both in the quarter and full year on comparable as well as reported terms, which includes the consolidation of Maui Jim and Creed. I will now comment on our individual Houses, starting with Gucci. Revenue for the full year came close to EUR 10 billion, down 6% reported and 2% comparable. Retail also down 2% comparable accounting for 91% of sales. Wholesale decreased by 5% and royalties were up 11%. In Q4, retail was down 4% comparable with trends improving in North America and Asia Pacific. Product-wise, Gucci showed good resilience in leather goods and women's ready to wear. The quarter was marked by a host of events following Sabato de Sarno's maiden fashion show in September. Gucci unveiled its inaugural evening wear collection, Ancora Notte, at the LACMA Film Festival. Milan's Montenapoleone flagship reopened in December after a full renovation, blending tradition with contemporary design, celebrating the essence of the city and made in Italy. The very first creations from the Spring/Summer collection are just starting to hit the shelves with a gradual ramp-up due to take place in the coming months. Not including any deliveries from this collection, wholesale was up slightly. Gucci posted full year recurring operating income of EUR 3.3 billion, a 33.1% margin, 2.5 points below last year. To sustain its future performance, Gucci pursued its investment in such key areas as stores, communication and clienteling, prompting operating deleverage, especially in the second half. CapEx was up supporting Gucci's exclusivity focus through a mix of refurbs, reopening and relocations, including landmark stores in Milan and London. The net store count increased by 10 units. Starting from Slide 29, some highlights on Saint Laurent. At EUR 3.2 billion, full year revenue was down 4% reported and 1% comparable, a contrasted performance on a very high comps, 2022, having been a remarkable year. The drop came from wholesale down 22%, with rationalization well underway. For its part, retail was up 4% comparable and represented 81% of revenue. Focusing on Q4, retail was unchanged. Saint Laurent enjoyed strong performances in Asia Pacific and Japan, while Western Europe and North America, though still negative, improved sequentially. By product category, leather goods were fueled by the appreciation of new launches and ready-to-wear fall and winter collection were very well received. Wholesale was down 39% comparable in Q4, reflecting both the impact of rationalization and our cautious approach towards the U.S. market. Recurring operating income was EUR 969 million, yielding a 30.5% margin. Gross margin was up on channel mix and the House continued to invest in brand and client experience to support its elevation strategy. CapEx was up with 28 net openings this year. Store investments were aimed at deepening Saint Laurent's penetration in various markets and for the opening of landmark locations, including the Champs-Elysees flagship. The House also inaugurated a new leather goods atelier outside of Florence. Now moving to Slide 32 to review Bottega Veneta's performance. Bottega Veneta's full year revenue was EUR 1.6 billion, down 5% reported and 2% comparable. Here as well, the drop in revenue is entirely due to wholesale as continuing rationalization translated into a 24% comparable decline. Retail accounting for 82% of sales was up 4%. In Q4, retail was solid, up 5% comparable. The House posted strong growth in North America and was resilient in Western Europe, both with locals and tourists. We achieved encouraging performances in Mainland China, where Bottega deployed sizable investments to amplify brand resonance. Firmly positioned in the ultra-high-end segment, Bottega's growth was driven by the high desirability of leather goods and ready-to-wear collections, consistent with the impressive reception of its recent fashion shows. Bottega -- Bottega's sound growth is fueled by a continued increase in AUR on a healthy mix of existing and new clients. Wholesale was down 37% in Q4, in line with the strategy of exclusivity. Recurring operating income was EUR 312 million, a 19% profitability, 2 points lower than in 2022. Gross profit margin was up on product and channel mix as well as pricing. However, the timing was right for Bottega Veneta to reinvest in collections, communication, stores and client experience to strengthen its momentum. CapEx is up on store network upgrades. Openings remain highly selective and including some retailization. The focus is still on strategic relocation and store enlargement. From Slide 35, our Other Houses, which had a challenging year. At EUR 3.5 billion revenue in 2023 was down 9% reported and 8% comparable. Wholesale was 29% down as our main soft Luxury Houses continue to tighten control over distribution but also face lower orders. Retail accounting for 72% of sales was up 3% comparable. In Q4, retail was up 4% comparable with all Houses up except Balenciaga. Trends in wholesale were consistent with the full year. In soft luxury, Balenciaga went through a complex year with sharply contrasting trends, down materially in Western markets and up significantly in Asia Pacific and Japan. Q4 was no exception on the retail side, although both Europe and North America showed some improvement on easier comps. Ready-to-wear and shoes perform well, especially for men. The House recently resumed more visible initiatives with a fashion show in Los Angeles, new campaigns and new ambassadors. Alexander McQueen also had a challenging year and Q4 stemming from the heavy impact of wholesale. Retail was positive on the back of its core ready-to-wear offer. The House is getting ready for a busy 2024 with Sean McGirr's first show and refreshed communications. Brioni's very solid performance during the year and in Q4 was fueled by its bespoke and formal offer together with the appeal of its leisurewear proposition. Our Jewelry Houses continued to show strength in Q4, ending another year of double-digit growth with total revenue close to EUR 900 million. Delicately combining tradition and creativity in its High Jewelry and jewelry offerings, Boucheron delivered another year of high growth, consistently reinforcing its position, notably on Asian markets. Pomellato pursued its steady growth trajectory, and Qeelin posted another strong performance. Recurring operating income of the Other Houses was EUR 212 million, a steep year-on-year decline, resulting in a margin of only 6%. With unsupportive top line trends and lower wholesale revenue, Balenciaga and Alexander McQueen had less capacity to absorb their fixed cost structure, which has expanded as they shifted towards more retail. By contrast, results were solid for our Jewelry Houses. CapEx was up 12% as our Houses continue to enhance their direct presence. Now turning to Kering Eyewear and our Corporate segment, which includes Kering Beaute. On Slide 39, revenue at Kering Eyewear passed the EUR 1.5 billion mark this year as expected. Comparable revenue was up a solid 10% in the full year. Reported revenue was up 35%, thanks to the material contribution from Maui Jim. Q4, up 6% comparable, confirms the successful development of the category and portfolio of brands. Revenue for the segment as a whole was EUR 1.6 billion as we consolidated Creed from November onwards. Recurring operating income of the segment as a whole was minus EUR 7 million, a notable year-on-year improvement. Kering Eyewear's operating income stood at EUR 276 million, delivering a strong profitability at 18.4%. This level is not fully normative at this stage as some reinvestment will still be needed to further expand the global reach of Lindberg and Maui Jim. Kering Beaute had a slight positive contribution. The integration of the highly profitable Creed more than offsetting start-up costs. As for corporate costs, they were stable year-on-year. CapEx stood at EUR 1.6 billion, mainly comprising the acquisition of 3 prestigious buildings in Paris for EUR 1.4 billion. We have summarized the remaining lines of the P&L on Slide 40. Other nonrecurring operating result was negative EUR 103 million, a EUR 91 million improvement compared to 2022. The gain on disposal on the sale of a building in London mitigated various impairments, reorganization costs and M&A-related expenses. Net financial charges amounting to EUR 410 million compared to EUR 260 million in 2022. They included interest and leases liabilities for EUR 150 million. Excluding this, financial charges were EUR 259 million compared to EUR 136 million last year. Cost of net debt at EUR 108 million was up on the back of higher average outstanding debt. We issued 3 multi-tranche bonds under very favorable financing conditions in a higher interest rate environment. But conversely, we benefited from higher income on our deposits. Other financial charges were EUR 151 million, mostly including the ineffective portion of hedging and other FX-related impacts. Restated for the recognition in 2022 of a fair value gain on Puma exchangeable bond derivatives, other financial charges decreased by EUR 44 million. Corporate tax amounted to EUR 1.2 billion, a 27.4% tax rate on recurring income, consistent with our normative tax rate. Group net income from continuing operations, excluding nonrecurring items, exceeded EUR 3 billion, an 18% decrease year-on-year. A few comments on free cash flow on Slide 41. The slight improvement in free cash flow generation, excluding real estate, at EUR 3.3 billion came from a more limited change in working capital due to tighter inventory management and from lower income tax paid, including real estate acquisition and disposals, free cash flow was close to EUR 2 billion. On the bridge, on Slide 42, you can observe the main components underpinning the change in our net financial debt. We paid EUR 1.75 billion in dividend and devoted close to EUR 5.5 billion to financial investments, mostly Creed and Valentino, with a few minor investments in strategic suppliers. We continue to trim our stake in Puma, and we are down to 0.4% ownership at December 31. Our net debt at year-end stood at EUR 8.5 billion, a net debt-to-EBITDA ratio of 1.3x. A quick look at our balance sheet and financial structure on Slide 43. Total assets and liabilities increased by EUR 7.5 billion. And as we consolidated Creed, our new real estate properties and equity accounted our 30% stake in Valentino. Our net debt-to-equity ratio stood at a healthy 53%. At EUR 4.5 billion, our inventories remain broadly stable in value year-on-year but decreased significantly in quantities, down 12% as a result of tight inventory management across our Houses. Operating working cap was a bit higher than last year, close to 18% of revenue. My final comment will relate to the dividend on Slide 44. The Board of Directors has proposed a dividend of EUR 14 per share. The payout is consistent with our long-standing policy as a percentage of recurring net income and illustrates our confidence in continuing to generate significant cash flow. We paid an interim dividend of EUR 4.5 last month, and the balance should be paid in May, pending AGM approval. This ends my remarks, and I will turn the mic over to Francois-Henri.
Francois-Henri Pinault: Thank you, Armelle. As you see, we intend to pursue our long-term strategy with serenity and determination. And of course, despite the tougher condition on the market that we foresee in the near future. Of course, we will remain very agile, very vigilant before engaging any OpEx or CapEx. But we will make sure that our Houses get the full support they need for their journey. So now we are ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Chiara Battistini with JPMorgan.
Chiara Battistini: The extensive presentation. I have 3, please, if I may. Firstly, if I can go back to your outlook for EBIT to decline year-on-year in 2024. I was wondering whether you could provide a bit more color on how to think about this between top line expectations and spend? And would it be driven all by Gucci? Or how should we think about profit development by brand? And directionally, I guess it will eventually depend on top line, but what order of magnitude are you thinking year-on-year in terms of the EBIT decline versus 2023? My second question on Gucci. I was wondering if you could provide an update on the CEO search and whether you have launched the process and where you stand in that process, please. And finally, just a clarification on the Chinese cluster. You mentioned, I think, in the presentation that the Chinese cluster was up 35% year-on-year. Can you please remind us how that looks on a full year basis and how that compares to the Q3 2-year stack, please.
Francois-Henri Pinault: Thank you for your question. I will start the answer on your first point, and I will let Jean-Marc to elaborate a little bit more. But as you understood in my presentation, all our brands are in a journey to raise their exclusivity after spending 10 years in building their desirability at a very high-end level. And we are capitalizing and leveraging on the strength that was created through what we call our creative leadership to transform that into long-term relevance in all the brands. This is what we call, of course, the elevation strategy of the brand. So as a consequence, our brands, the way it has been built, we are very strong in the aspirational segment of customers, and we are building on that to improve and to increase the share of the high-end customer segment in our portfolio across the brands. So that's overall where we are. And of course, when we are implementing this strategy in an environment that is less supportive for the aspirational customers, this has an impact and put some pressure on the results. You saw that last year. And as we foresee the near future of the economic environment across the board, this will also keep some pressure on the result of the group in 2024. But we are very confident, and we also saw in the high-end segment that we have in all the brands, that are still small for sure, but we see a good result, good momentum in growing those segments. So this is, overall, what puts pressure on the EBIT of the group last year and probably this year. And I will let Jean-Marc to give more flavor about that.
Jean-Marc Duplaix: Chiara, I will try to be short, but at the same time, very comprehensive because as you can imagine, we feel that there will be a lot of moving pieces in 2024, starting with a very uncertain environment economically, but also in terms of geopolitical environment. And also, we remain very humble. We are very determined to execute the strategy in the right way. But of course, in the course of the execution of strategy, you can have some hiccups. So this is about the environment. Now if we look globally at group level on the revenue side, as you can imagine, wholesale will still remain a drag for some brands in the group with the exception of Gucci in -- and especially in H1 with high teens of a decrease in wholesale revenues in H1. And in H2, something maybe with somehow a form of less deceleration, but uneven across the brand. When it comes to retail, we can expect for the year quite modest growth of the retail revenues and with an improvement which is more skewed towards H2 and also a gradual normalization when it comes to e-commerce, especially also in H2. The drivers of the growth will be principally through the mix with the work we are doing in terms of elevation of the offer across the board, but starting with Gucci. We don't expect significant price hikes for next year. And when it comes to volumes contribution, we will remain prudent even if we could expect some improvement along the year with a pickup in terms of traffic. Now let's look at the gross margin. The gross margin, of course, you have some elements that could play positively on the gross margin evolution. Think about the channel mix for some of our brands, the ones, of course, that will see a decline of the wholesale revenue. Geographical mix also could be -- could help. And also, we are working to improve the sell-through, which is always clearly a boost for the gross margin. But conversely, at that stage where we are, we should not be -- we should not have a very positive impact of the mix of FX and hedge so that should not help the margin on that side. And we are making a lot of investments in the supply chain. We are working on the quality. We remain very vigilant also about the policy of depreciation of inventories. So as a result, we could see some pressure on the gross margin up to 0.5 points approximately. Now let's look at the OpEx. I think that on the OpEx, there is a clear determination on our side to control the CapEx and to be very vigilant, and we are tracking with discipline and rigor, all the OpEx that would not be efficient and on which we will not get some return, but still we want to invest to support the strategy of our brands in terms of elevation, in terms of exclusivity. So that will impact store expenses. Store expenses, we have more activities in the stores. We have embarked also in the P&L because of the past investments, especially in some flagships, depreciation and rent. And you will have observed that, by the way, that the dilution in terms of EBITDA is slightly less than the dilution on the EBIT margin. So it could play something -- it could have an impact of 0.5 to 1 points on the overall profitability. And we continue to fuel the growth, thanks to advertising and promotion expenses that will continue to increase. We should be above the 8% ratio in terms of -- compared to sales. So it could had something like up to 0.5 points on the EBIT margin impact. So overall, we can expect a high single digit increase on the OpEx side. Of course, I won't guide you through the -- what will happen brand by brand. What we can say is that, what I said for the group, is particularly relevant when we look at Gucci. While at Bottega Veneta, we feel that there is clearly some traction in terms of [ hate ] and desirability around the brand. We are very positive about the brand. And we see that we get some return on the initiatives we have implemented since 2022. So we need to support further. Balenciaga, here again, Francois-Henri mentioned it, we want to make the brand more visible after this year, which was more challenging. We see some gradual regain in terms of traction. 2024 should be a pivotal year. So that's the reason why we will continue to invest in Balenciaga. McQueen, there is a very promising transition that we will support, of course, through A&P investments and still some work on the store network. And last but not the least, Saint Laurent has had a remarkable journey of growth of the top line, 6x in the last 10 years and also the operating profit, but we need to muscle further its organization, its communication strategies to make it ready for the next milestone.
Francois-Henri Pinault: So regarding the question about Gucci, I will let Francesca to answer that.
Francesca Bellettini: Chiara, there is no search for a new CEO of Gucci. Jean-Francois Palus is the CEO of Gucci. What we work together on is to build a very strong team under Jean-Francois. And the strategy has already started with the appointment of Massimo Vian on January 15. We need a strong team to execute the strategy that we have in mind, and this is where we're going to focus. It's never up to one single person, even when he is the CEO. So together with Jean-Francois Palus, we're going to build a very, very strong team at Gucci, and you will see the next talents joining in the coming months.
Francois-Henri Pinault: Thank you, Francesca. Maybe on the Chinese cluster, Armelle?
Armelle Poulou: Yes. So on the Chinese cluster, so as mentioned, the performance was plus 35% in Q4, which translated into plus 34% on the full year with the continued recovery of outbound travel. Nevertheless, on a 2-year stack, the performance turned negative in Q4.
Chiara Battistini: Sorry, turned negative from, I think it was low single-digit, if I'm not mistaken, or mid-single digit in Q3.
Armelle Poulou: It turned negative to high single digit in Q4, which translates in a low single-digit growth on the full year.
Operator: The next question comes from the line of Zuzanna Pusz with UBS.
Zuzanna Pusz: And I'll try to keep it brief. So just, I guess, a follow-up on the margin. You've provided a lot of details. But maybe just to clarify specifically on Gucci. I think consensus has 32% margin for Gucci for this year? Do you think that is achievable? I mean, if there's any color around that you could provide, given that we are trying to understand if this could be the bottom of Gucci's margin or not? My second question is on inventories. If I look correctly, I think they've reached sort of the highest level since 2012. So is there any chance you could explain to us how you plan to sort of lower the level of inventories. I think especially in the context of some comments that have been made about perhaps closing some of the outlets. And then finally, my third question, you mentioned the exposure of some of your brands to the aspirational consumer. Would you be able to maybe comment if there's any way actually to maybe to quantify to what has been the percentage of your exposure to the aspirational consumer last year versus perhaps I presume it would have been the peak in 2019 as a percentage of sales, of course.
Francois-Henri Pinault: Thank you. So I will let Jean-Marc to start and Francesca will answer on the aspirational consumers.
Jean-Marc Duplaix: Thank you, Zuzanna, for your 3 questions. I was expecting I've been quite clear on the margin evolution, but I will try to be a little bit more specific on Gucci. So I think Francois-Henri made it very clear, it's another year of investment for Gucci. Francesca mentioned also the fact that we will have some new talents joining soon the company. This is a strategy which needs to be implemented with a long-term vision and not in a stop and go mode and with a short-term vision. So clearly, what I mentioned before regarding the top line. Of course, in the case of Gucci, there is no more wholesale rationalization. But as you know, the share of the Sabato collection will increase along the year. So we cannot expect a major inflection point too soon in the year. So the retail growth should be quite moderate in the case of Gucci and especially in H1. The pressure I mentioned on the gross margin previously will particularly apply to Gucci where also with the support of the -- under the helm of the new Supply Chain Director, we will continue to work on the elevation of the quality on the supply chain with some investments to support our suppliers, so -- with some impact on the gross margin. Of course, Gucci is engaged in a plan of rightsizing its structure. But I think, obviously, considering all the moving pieces I mentioned before, I think, globally speaking, what we can expect without mentioning any EBIT margin because, of course, when it comes to the top line, it's very difficult to predict what will happen. But I think what we can say is that the EBIT in absolute terms of Gucci could decline by at least something like mid-single digit overall in 2024. So I think I'm quite clear when I mentioned this in terms of absolute terms. There is a question about the inventories. But I think you said it Armelle during your speech. In volumes, there was rather a decline in terms of units held in inventories. So in fact, the teams across the different brands did a terrific job to optimize the buying to manage the oldest inventories and this discipline will continue to apply in 2024. And even more, we have already worked with Francesca to -- with the brands to determine what could be the best open-to-buy policy for 2024. Of course, here again, what I mentioned before is that the sales -- this improvement of sales through should happen rather along the year and more specifically in H2. We applied a quite consistent policy in terms of depreciation. And if I look at the inventories in terms of percentage of sales, the variance in gross value is not significant this year. And if I look at net value, you see that we are more almost stable. It's important to mention that because of the evolution of our offer, the cost of our products has increased. So that's the reason why you have an increase in value, but a decrease in terms of volumes. So as regard the management of our inventories for next year, it's important to remind, first, the proportion of the carryover that we have in our collections, especially at Gucci and some of this carryover will remain. There is no discontinuation, which is scheduled, first of all. Two, the work done this year has led to, let's say, a rejuvenation of the inventories, meaning that we have not the same proportion of very old collections as we had before. And point three, we mentioned that we will start to reduce the number of outlets as soon as this year at Gucci level, but it does not mean that we will not, let's say, redirect some of the products that we have in the outlet network that we will keep that will be gradually reduced in the coming years. But still, we have sufficient outlets so far to manage the old inventories without discounting the price, of course, in the full price stores.
Francesca Bellettini: I'll take the question on the aspirational client. As you know, the strategy of Gucci has been to build a brand with a very strong fashion leadership. And this is what has been fueled the growth of our brands over the past 10 years and has allowed Gucci to triple the sales, Saint Laurent to increase the sales by 6x. Of course, the aspirational client is the most prominent part of our client base, but what you have been focusing particularly on the last few years, building on the desirability of the brand and the elevation strategy is to increase the number, the value and the share of our top customers. The share of those top customers, of course, is lower than the one of the aspirational. And our goal for the future is to continue to grow both with the aspirational part growing less than the top and the top growing very fast. The results of 2023 in this respect are promising and what you see being the decrease in revenues is due by the fact that the aspirational consumer has been the one most affected by the current economic situation in all the different geographies.
Zuzanna Pusz: And if I could just follow up, and I'm sorry for being so pushy, but I guess it's just part of our job. So do you think 32% margin from Gucci that consensus is reasonable? Or could it be lower? I'm sure you had some sort of expectations, which you may not want to share with us. But just to get an idea.
Jean-Marc Duplaix: You do your job, definitely Zuzanna. So that's the reason why I tried to provide you a very comprehensive answer. We said that the revenues should not increase significantly for next year at Gucci. And I think it's quite wise to start and to have this assumption for next year. And hopefully, we will do better. And obviously, I'm sure that we have the occasion to come back to that, but the reception of the new collections of Sabato are definitely very, very encouraging. So -- but anyway, I think the plan so far is quite a modest increase of the sales for next year and more concentrated in H2. And as I told you, we expect for the EBIT in absolute terms in euros, a decrease of at least mid-single digit. So if you make your math, I think you will find more or less what could be the level of profitability for next year.
Operator: The next question comes from the line of Aurelie Husson-Dumoutier.
AurÃ©lie Husson-Dumoutier: Yes. My first question is on 2025, I'm sorry. But do you think that the investment in '24 would be enough to have a profitable trajectory in '25? In other words, would it be fair to assume a return to EBIT growth in '25? I know it's a tough one, but I'm just asking that to make sure that all consensus contributors are on the same page. So that's my first question. My second one is, maybe if you could share some views on how did January start? And my last one would be on the U.S. One of your competitor has delivered very upbeat stance for 2024 for the U.S. being an election year and probably being favored by lower interest rates. What is your view on the U.S. consumer for '24?
Francois-Henri Pinault: All right. So 2025, it's far away, but it's true that we expect -- of course, depending on the economic environment, but we do expect and we see our first -- as already Jean-Marc mentioned that some good sign of attraction and traction, particularly on the new collection that is coming up. As I said in my speech, the product of Sabato for Gucci will hit the stores starting this month progressively. And let's say, in June, the total assortment will be -- installed will be from Sabato. So it's a progressive sign. But already what we've seen in different openings where we put in some new products, it's a very good sign of traction coming up. So yes, we expect already this year a sign of recovery in a different segment where we want to invest. Francesca mentioned the high-end customers. We already have a good sign of growth in all the brands. So that's something that we will capitalize on next year. And if the economic environment is not degrading in 2025, we could expect also some traction on the aspirational consumer where, as you understood, we are very strong. And of course, this will benefit all the brands if this economic environment is good. But again, Francesca mentioned it, and it's important. We will grow faster, and we're already growing faster on the high-end segment that we are increasing compared to the aspirational consumers. So that will rebalance the portfolio of customers in all our brands going forward and particularly next year in 2025.
Jean-Marc Duplaix: Of course, Aurelie, as usual, I will not comment so much on the current trading. And what I'm going to say is not particularly brilliant because it's quite obvious that the start of the year is quite complex to analyze as there was a different timing of the Chinese New Year from the 22nd of January to the 10th of February. So it does not help to analyze the performance at least in the region. And as a result, also considering that we had 2 years of growth in China at the time of the Chinese New Year and quite a substantial growth in '22 and still in '23, January was positive in China. So comp base is quite demanding. So the consumption trends in APAC globally in China, but also in APAC are not particularly supportive so far for the start of the year. When it comes to all the other regions, so let's say, North America, Europe, rest of the world and Japan, we don't see significant changes compared to Q4 '23, although 2024 started on the more muted trends.
Francesca Bellettini: I'll take the question on the American customers. Of course, we learned it because every 4 years, we have elections and when in the U.S., there are elections, there is uncertainties and particularly on the aspirational clients. And as I already explained, still represents most of the revenues for all of our brands even if the top segment is growing faster. So it's a cautious approach, the one that we have for 2024 and it is more cautious on the aspirational client segment for all of the brands. Still -- on the upper part of the clients, we still see encouraging trends. Some brands like Bottega Veneta, for example, I mean, having a very, very strong last quarter in the U.S., gaining market share. And for all of the other brands, the trend in the Q4 is improving versus the previous one, driven by the attention of all of the teams on the higher segment of the consumers.
Operator: The next question comes from the line of Edouard Aubin with Morgan Stanley.
Edouard Aubin: So 3 questions for me. So Francois-Henri, you mentioned in your prepared remarks, you talked about Gucci, the challenge or, I guess, the opportunity depending on how you look at it, to balance, the balance between brand elevation and the brand remaining fashion forward. Some of the critics -- the fashion critics in the press have said that to elevate the brand, Gucci went maybe a bit too minimal is kind of moving away a bit from its roots and might have [indiscernible] following trends rather than setting them. Why do you think that's not fair? So I'd be curious to have your view on that, that's number one. Number two is on Balenciaga. So the brand had a really stellar growth over the past decade. Obviously, 2023 was a different scenario. How optimistic are you that this year already will mark an inflection point? Or you think that could happen maybe more next year? And then just a follow-up for Jean-Marc. Just on the A&P, I missed the comments, Jean-Marc made, but if you could come back on the percentage in '22, '23 and '24, sorry, just to understand to what extent A&P already went up or not in last year and what you're expecting for '24? If you could repeat that would be helpful.
Francois-Henri Pinault: Thank you for your questions. So regarding Gucci, we have the expert of the elevation strategy implementation with Francesca. So I will let her comment and answer your question and also maybe on Balenciaga, and then Jean-Marc will answer the third one.
Francesca Bellettini: Edouard. Well, the strength of Gucci is exactly to have this duality in its DNA. The stronger heritage and luxury component and a very strong fashion authority built in its veins. So when you judge a journey to elevation, you never look at only one collection or one show. You look at the brand and you look at all of the investments made by the brands. What Sabato De Sarno and the team have been doing goes exactly in this direction. The collection has been very well received. You see also the traction that you're having with celebrities. It's the same for the advertising campaigns. And if I give some hints about a few injection of products that have been made of Sabato De Sarno collection, very small, but for example, for the opening of our boutique in Montenapoleone, well, its product went out immediately. And the strategy of the brand is to continue to push both the duality, heritage and fashionability. And you see it already quite well from the first fashion show with the revitalization and enhancement in quality of both an iconic handbag like the Jackie and also the moccasin, a territory that belongs to Gucci and the Sabato and the team have interpreted with a very, very strong fashion authority. So I can confidently say that we are very optimistic about the future of Gucci. We are focused on making it work with confidence and with patience. Regarding Balenciaga, the brand has been incredibly strong over the last 10 years. Of course, it has been hit by a crisis that would have had probably major consequences even bigger than the ones that had on Balenciaga on most of the other brands. I like -- I mean, I'm optimistic by nature, and I'd like to look at the positive things that are happening. If we look at the crisis that has hit Balenciaga in 2023, first of all, it's mostly the Western country, namely Europe, America and the Middle East and mostly the aspirational clients of the brand. The brand has been very strong in Asia. Actually, in countries like China, it overperformed most of their competitors, gaining market share, and it has increased like most of our brands, its number, value and share of business with its top customers, confirming the desirability of the brand. So I think that we can be confident. Remember that also the brand, for most of the year, didn't amplify its communication as much as before because of the crisis. And therefore, those results have been obtained without investment in communication that very recently resumed with the signature of major contract with great ambassadors, the fashion show in LA, incredible advertising campaign and the launch of the Skiwear collection towards the end of the year that has been very positive. So we are confident. We will continue to invest in the brand. And I think that this should more or less answer your question about when a full rebound should happen.
Jean-Marc Duplaix: Thank you, Francesca. And if I may, I will add that the performance of Balenciaga in retail was compared to what happened to the brand, quite sustained. It's slightly negative without disclosing too many figures. It's only slightly negative in our stores with a good level of traffic. And as Francesca said, very strong performances in many regions. So -- and encouraging signs at the end of the year. I won't elaborate too much on the A&P side. And I won't give you any detailed figures, '22, '23, '24. But I think exactly what Francesca said, typically in '23, Balenciaga has not invested so much in terms of advertising and promotion and events. Some brands continue to enhance their communication strategy, I think, about Bottega. And as we said, this is a year to amplify the communication around the new collections at Gucci to have a more comprehensive approach in terms of communication with different tones of communication along the year for Gucci. So all in all, what I said is that the communication budget will increase at group level, high single digit or even double-digit will depend, of course, on the phasing of the campaigns and what we will decide with Francesca, also looking at the evolution of the top line, but we keep some ambition on that side. It means that last year, we were at group level, again, slightly below 8% in terms of A&P to sales. And this year, for 2024, we plan to be significantly above 8%.
Operator: The next question comes from the line of Luca Solca with Bernstein.
Luca Solca: I understand that the wholesale exposure of Gucci has been reduced and rationalized and it's now a great quality. I wonder what the Spring/Summer or the book is telling you when you look at how like-for-like high-quality wholesale accounts have been reacting to the new creativity that Sabato has brought to the House? As a second question, as we have Francesca on the call. I'm interested to understand her role and how she is giving a contribution to the various Houses, what are the elements that she focuses on so that you can help colleagues and the heads of the various brands to perform. And maybe again for Francesca, we see Saint Laurent has produced an incredible performance in the past few years. But more recently, when we look at retail growth, it seems to be underperforming leading brands in the soft luxury space. So I wonder what is your diagnosis or what is potentially missing at Saint Laurent and how growth could be reinvigorated going forward? And then last but not least, I wonder if you could give us a sense of how exposed what price Gucci would be as you are transitioning from one creative leadership to the other in percent and how you expect that this is going to be reduced in line with the improvement of distribution that you have performed, focusing the business on full price retail.
Francesca Bellettini: Luca. I think I'll take all of your 4 questions. So I start with the wholesale exposure. Well, in 2020, in the group we defined as part of the elevation strategy, the rationalization of our exposure to wholesale. And you saw also from the result that Gucci is the brand that is the most advanced into this journey with their revenues being over 90% exposed to retail. So as part of increasing the exclusivity of the brand, we have decided not to offer most of Sabato De Sarno collection to all of our wholesalers, but actually to let a very few number of them to buy into the collection. So it wouldn't be proper to answer on how much is the portfolio of orders of the wholesale because it would be irrelevant. On a very small comp basis, it's, of course, positive. Regarding my role, well, my role encompasses both positions, when I've been offered the position of becoming Deputy CEO of Kering, in charge of the development of the brands. This was together with remaining CEO of Saint Laurent. I am not the CEO of the other brands, but I am working with the CEOs and the teams of the other brand to execute the strategies that we have identified. And actually, the fact that I have a dual role, allow me to speak the same language as a CEO, keep my feet solidly on the ground because I'm facing every day the same issues and problem that they have. And at the same time, it allows me and all of us to identify much better than before, opportunities and threats, and in particular, what could be something that is specific to one brand as opposed to something that is coming from an industry trend. So allowing me to be actually even a better CEO for Saint Laurent, where, by the way, I have a very strong team that I have rationalized, and therefore, I have less direct reports than before. So my role is to work with the CEOs and with the Kering functions in order to ease up the execution of all of our strategies. This leads into the Saint Laurent performance. Well, what I was saying before regarding the growth and the aspirational clients has been particularly strong at Saint Laurent, where the focus of myself and Anthony has been into increasing the desirability of the brands. When you increase the desirability of the brand, you bring into the brand a lot of new aspirational clients that are attracted by that. So the recent performance of Saint Laurent, by the way, in retail is positive. And in particular, positive, if you consider that inside our revenues of retail, there is also e-commerce that after booming for the past few years, has been decelerating for the whole industry. You understand that the situation of Saint Laurent is pretty solid, that our strategy has been correct. Our growth in the share of top customers is super, super strong, and we continue to intend executing our elevation strategy with no compromise. Even this year, we have continued reducing our exposure to wholesale. Like you see in the last quarter, our wholesale revenue went down by 39%. And actually, we think that this is creating even stronger basis for a future growth. Regarding the exposure...
Jean-Marc Duplaix: If you can ask -- if you don't mind, Luca, could you repeat your question and rephrase it because we are not sure to get it completely.
Luca Solca: Yes, absolutely. And thank you, Francesca, for all of your answers. When it comes to the last question, I was interested in understanding how exposed Gucci could be to off-price as you're exiting the collections and the inventory, I presume, of Alessandro Michele. And what you aim as correct exposure as a percent of sales in the off-price channel for Gucci knowing that this would be consistent with the upgrade in the quality of distribution, which is focused on full price, reducing wholesale significantly. I just expect that you would be reducing off-price as well. But asking the question to confirm that.
Francesca Bellettini: Yes, Luca. This is the intention of the company, the intentions of Francois, the team and all of us. Of course, when you have a change in a creative leadership, you are left with a few seasonal products that the company has already started to deploy. Like Jean-Marc said, actually Gucci will close a few of their outlets, and we will deploy those products into the remaining outlets that are more than enough to fulfill this role. We will selectively launch the collection of Sabato exactly to protect them and not to be exposed to an eventually markdown policy on those collections, which is very, very important. And our focus will be to reduce the exposure of the brand vis-a-vis discounted sales. So being that outlet or markdown. Like Jean-Marc was telling you when he answered the question regarding inventory. If you look at the value of our inventory went up in value, but down in volume. He also said something very important that in a lot of our brands, this inventory is done by carryover or lookalike carryover. So the strategy, the Jean-Francois, Sabato and the team have to continue revitalizing the icon will help actually deploying and cleaning, if you want to say this word, this product at full price without the need of discounting our iconic products of the brand. So it will be very balanced. We have to be patient in that, but don't expect a massive discounting of previous collection because it also took a little bit of timing between what the previous creativity and the one of Sabato.
Operator: The next question comes from the line of Thomas Chauvet with Citi.
Thomas Chauvet: I have 3, please. The first one on Europe or rather the local European consumer. A number of your fashion peers have seen a deterioration between Q3 and Q4 with the locals. It seems, however, that Saint Laurent, Bottega, but also Balenciaga had a better fourth quarter. Was it driven by locals? Was it driven by tourists? And how more generally, the locals are responding to the brand elevation exercise at these brands? Secondly, on beauty, could you talk about how Gucci Beauty has performed in 2023 under the management of your license partner. Are you expecting the status quo this year in terms of the relationship with that partner. I'll be curious to know also how the Creed integration has worked for that division. What are the key learnings you've had already on that acquisition. And finally, on real estate, Mr. Pinault, you've said earlier, you intend to remain a brand operator rather than landlord. Could you perhaps come back to the key acquisitions Kering did in 2023 in Paris? I heard also there was one in January in New York in the press. Are these long-term investments? What's the rationale? Are they financially or maybe strategically accretive? And what do you think is the potential envelope for real estate acquisition in the future, next 3 to 5 years? Is it EUR 5 billion, EUR 10 billion? And how far do you want to go in terms of location? And what would be the budget allocated to real estate going forward?
Francois-Henri Pinault: Thank you. Armelle, maybe you start.
Armelle Poulou: Yes. So the trend in Europe was slightly better in Q4 versus Q3, albeit still negative at minus 8%. So the local demand was still soft but improving quarter-on-quarter. Tourist spending was slightly down versus last year, with a drop from Americans and Middle Easterner that was not completely offset by the positive trends with Chinese.
Francesca Bellettini: Yes. And the business is local in Europe, like Armelle is saying, has been affected by the aspirational clients again. So it's mostly due to a lack of traffic, but all of our brands, again, also in Europe are increasing the business with their high-end customers by recruiting new and also doing a fantastic job in retaining the ones they have.
Francois-Henri Pinault: So beauty and real estate, Jean-Marc, maybe?
Jean-Marc Duplaix: Yes, sure. Thomas. Beauty, I think it's true that this year was a quite distant year for the Gucci license. Unfortunately, with not new launches of products or flankers are not enough, but it's a quite distant year. However, I will not speculate on what will happen, considering that the terms of the license with Gucci are -- with [indiscernible] are confidential. And obviously, for us, the focus so far is about the development of the Kering Beaute platform with, of course, the integration of Creed, and I will come back to that because you asked the question. And also, the development of the products of the 3 main licenses, which are now fully internalized, Bottega Veneta, Balenciaga, and Alexander McQueen and we expect to launch the first very high-end fragrances of Bottega Veneta during the year. The focus is about that. And once we will have reached a critical scale with the Kering Beaute business, it will give us more comfort, of course, to consider all possible options regarding the beauty business of our brands that are still outsourced. When it comes to Creed, I think, obviously, we are, as said by Armelle, we have only 2 months of consolidation of the sales. So it means that the integration is quite recent. We are working to implement all the synergies we can deploy. And recently, we are able to help Creed to negotiate a store in Paris, and we were able to go fast and to have all the leverage we can get from the group. And conversely, the Kering Beaute teams are working very closely with Creed to work on the future development and launch of the Bottega, Balenciaga fragrances, especially when it comes to the supply of the different ingredients in terms of quality, all about the sourcing. So obviously, we are very pleased with the first steps we made in terms of integration of Creed and the synergies, we see the potential of development of the brand. We expect that for next year, Creed should exceed already EUR 300 million of sales. Let's talk a little bit about real estate because there is a lot of speculation around that. You know perfectly that in that industry to get key locations, whether through a rent or an acquisition, it's super important. It's key. And we're -- the teams in all the brands are working every day to improve, to work on the store footprint, to optimize the store footprint. The privileged business model does remain the rent and just put it in perspective, we have, as you can see in the report, something like 1,800 stores. I make it very rough in terms of figure. So far, with the buildings we have already, if I think about the Hotel de Noce, Place Vendome for Boucheron or Tokyo, Omotesando for Saint Laurent. And if I think about the potential openings we may have with the stores that we have -- with the buildings we have recently bought, we are talking about something like 10 point of sales. So this is not the first business model we have. But of course, when we buy an asset, it's because we think that it's in an iconic place, in a strategic place and it's generally in order to have a flagship store. And that's the reason why we are not rushing to buy everywhere, and we are very selective, and we are targeting some cities where we believe that our brands deserve to have flagship and landmark flagship locations. What I can tell you is that the purchases we made recently had steered a lot of interest of our competitors and that we -- I think that we are among the top locations we could target. Going forward, I think that in terms of structure, our preference will always go to a model where we can co-invest with financial partners as we did for building for Bottega Veneta in Tokyo. And we don't -- we want, going forward, remain disciplined, agile when it comes to real estate and to contain the exposure we may have to real estate. So I will not quantify what could be the pipe of purchases or acquisitions we would make as rightfully said by Francois-Henri, we are not acting as a landlord. So we have not a strategy of buying every year a certain amount of real estate assets. So we'll continue to be very selective. We have time. We are the strong balance sheet, and we can afford to wait before buying some new assets. And we can wait before setting up a structure where we could co-control these assets with financial partners. We will work in that direction, but without any rush.
Operator: The next question comes from the line of Antoine Belge with BNP Paribas Exane.
Antoine Belge: So 3 questions. First of all, I think Francesca mentioned that you are no longer or not yet looking for a Gucci CEO. Is it a bit of a change? Or is it more that maybe we misunderstood, but the interim CEO meant it could be actually more -- a longer period that we had anticipated and a bit of thinking about potential future leadership and Gucci and what will be the sort of quality required? My second question relates to the decline in operating profit. So you also kind of providing this mid-single digit decline at Gucci, but I also understood from all the very qualitative details and that seems to be a bit more broad-based that it's fair to say that the group EBIT as a whole should also be down in the same vein at mid-single digit with all, Saint Laurent, Bottega, but also the others having all further margin decline year-on-year? Or is it maybe 1 or 2 [indiscernible] could see [ income ] margin this year? And my third question is on the U.S. market. When you look at the different brands within the portfolio, which ones you think are the best positioned, at least for this year in the U.S., especially if that market provide maybe good news compared to recent trends.
Francois-Henri Pinault: Thank you, Antoine, and for your questions. So I will start with the question on Gucci. It's true that I mentioned last July by [indiscernible] as we say in French, that it was an interim CEO. So in fact, what I wanted to do, and you will understand very well, and we worked on that with Francesca is to have a clear assessment of where we were at Gucci in terms of leadership, in terms of organization to see what was the best move for the brand. So -- and we work with Jean-Francois very deeply in the first few weeks of September up to the end of the year to really see that we will need -- and the top priority was to put in place a strong executive team inside the brand. And Jean-Francois has proven to be a great leader for that. So I've decided in the course of the fall period to confirm Jean-Francois as CEO to build that strong organization, like Francesca mentioned, we already announced the first hiring, and you will see some strong ones coming up to really put that in place to move forward and to put in place the -- at the same time, the new vision of Gucci with Sabato and the elevation strategy that is behind the scene at Gucci. So that's why the word that was used in July, but we are very happy with the first few months of Gucci, Jean-Francois is really leading the show and doing a great job in reorganizing, putting in place the teams and setting the right priorities and the road map for the next few months and the next few years.
Jean-Marc Duplaix: Antoine, thank you very much for having stress that I had been kind enough to provide a lot of color about the EBIT. I'm not sure that I could give a lot more. What I can say is that if I go a little bit further without being too detailed, our jewelry brands, as you can see, have an amazing trajectory. We are very confident with the development -- for the development of this brand. So mechanically, whatever the reinvestments we are making in these brands, they are becoming more and more profitable. Kering Eyewear, as you saw, had a great year in terms of results was highly profitable. But as we had already explained, there is a need of investment, especially in Maui Jim, we are not yet at full speed in terms of relaunch of Maui Jim expansion of Maui Jim outside of the historical markets where the brand was very strong. So meaning principally, the Anglo-Saxon market and the U.S. But you may have observed that there is currently a massive advertising campaign around Maui Jim. So I invite you, by the way, to look at the movie. And as a result, the EBIT margin should be diluted, but hopefully with an increase of the top line. Now if I think at the other brands, I think the magnitude of the decline is principally driven by Gucci, as I mentioned, for the other brands. I told you that we would continue to invest in these brands, but I will not qualify specifically what would be the trajectory in terms of EBIT.
Francesca Bellettini: And in terms of the U.S. market, like I already said, our trend for Q4 is improving for all the brands. All the brands are improving their business with their top customers, all the brands are suffering vis-a-vis aspirational customers due to the economic situation of the country that is affecting more the aspirational segment. So in terms of brand desirability, all brands are very well positioned. And so we should expect more or less the same. And the fact that the brand is growing more or less versus the other comes from easier or more difficult comps of the previous year.
Antoine Belge: Maybe just a quick follow-up. I mean, are there brands for which you expect to open stores in North America in 2024?
Francesca Bellettini: Should I want to take? The portfolio of stores in the U.S. of our brand is quite well developed. So we don't expect a lot of numbers of new openings. We have invested quite a lot in the market in all of the brands. You could see eventually some relocation of enlargement of stores, the recent acquisition in New York shows to you what the strategy is going to be. So again, the U.S. market is quite -- is going to be quite stable also for that.
Operator: The next question comes from the line of Charles-Louis Scotti with Kepler Cheuvreux.
Charles-Louis Scotti: I have 3. The first one is a follow-up on wholesale. Could you tell us what kind of retail penetration do you target for your brands in the longer term? And within what time frame? I'm just trying to figure out whether we should expect multiyear wholesale headwinds for your brands other than Gucci or if post-H1 the wholesale cleanup will be completed. My second question is about the new store concept for Gucci on Via Montenapoleone. I'm just curious to hear if you saw any improvement in the main retail KPIs such as AUR, unit per transaction or the average wallet with the new store concept. And also, could you tell us what is the share of the store network and Gucci already under this new format? And if you plan to roll out this new store concept globally? And if yes, what would be the CapEx required to do so? And my third question is about the beauty business. It seems that you are adopting a very selective distribution strategy for your upcoming fragrances launches. How should we reconcile that with your ambitions to quickly scale up the beauty business? Are there some brands in your portfolio where you plan to add probably a much less selective distribution strategy?
Francesca Bellettini: So I take the first 2 questions. Regarding wholesale, like I explained, we decided the rationalization of wholesale in 2020 with different journeys for all the brands and all the brands are on track with that. The brand that is the most advanced is indeed Gucci with the share of retail being above 90%. It will grow further in the future and for all the brands, the trajectory is to go towards the high 90%. And how long, it will depend also on the market. You know that when you talk about rationalization of wholesale, it takes time because with the partners, you need to also give notice. And so it's not at the moment you decide not to include any more one wholesaler into your portfolio. This is happening immediately. And it goes hand in hand with the strategy of retailization of some of the point of sales. So certain point of sales from wholesale will be transformed into retail. And this is a strategy that is agreed with our major multi-brand partners. So the trajectory will be different by brand and also the pace, but you will see all the brands little-by-little trending towards becoming more than 90% exposed to retail. With regards to the Montenapoleone store concept for Gucci, this is a transitional new store concept that the brand has decided to implement in order to enhance the product better. And if you visited the store, you can see that this is what is happening. It's not only for a new store concept that we follow KPIs, but we follow it for all of our stores starting from the traffic, starting from the SKU efficiency or the exposure of the different product categories that you are supposed to have. And then, of course, changes by cluster. So it's not because you do a new store concept that you target different KPIs. Actually, you use the KPIs to develop your store concept in the best possible way. The brand is going to have a new store concept that is in the process of hiring a major architect and this election should be completed by more or less June of 2024. And then you can expect that in about 18 months, there will be a reveal of the new store concept under the new creativity. But the one in Montenapoleone, that is also present, for example, in London or in Miami for the men's store is going to be the one that we're going to use in the transition. And from the first feedback that we have in terms of qualitative feedback, but also KPIs, it serves a job.
Jean-Marc Duplaix: Maybe I will add something on this concept. I see that in your question, there is probably something around what will be the percentage of the network with the new concept, what will be the level of CapEx and so on. So just to clarify, every year, there is refurbishments in our stores. That's part of the game. There is relocation. And if I look at the CapEx envelope besides the real estate acquisitions, you have something like 60% at group level dedicated to retail. And in that envelope, among this 60%, half of it, it's about refurbishment and relocation. So there will -- there won't be a specific push to have this new concept everywhere. It will be very gradual as usual. And I think that Francesca could confirm that when you start to rejuvenate a brand, what is important, it's communication, it's about the way you treat the client in the stores, it's about the products and then the stock concept can be installed gradually without rushing and investing massive CapEx. So it won't change the CapEx policy we have at group level or at Gucci level.
Francois-Henri Pinault: Thank you, Jean-Marc. I will answer on the beauty question. So first of all, as you know, the beauty, luxury beauty market and more specifically, the luxury fragrance market is roughly EUR 40 billion to EUR 45 billion of size, of which there is 2 key segments, the high-end segment, which is roughly 15% of that and the rest, which we call prestige segment. Of course, the scalability, the huge volume are on the prestige segment. But it's a market also that is wholesale driven. Even though we have brands with a high desirability in the eyes of the consumer, we need also to be desirable from a retailer standpoint when we launch our fragrance. So the strategy that we have built is, first of all, for the brands that Jean-Marc mentioned, Bottega, Balenciaga and McQueen to start with, to start the launch on the high-end segment with very desirable, very sophisticated product using the know-how and the experience that we had with -- we have acquired through Creed to address this very specific segment of product and the distribution channel that is behind it. And we will create the desirability for our products for the other networks of distribution for the prestige market where we will then scale the brand. So it's a 2-step strategy for the beauty market. And we think that's the right way of doing it to not to rush as an extra brand on this huge -- highly -- there's a lot of brand in this segment. So starting by the upper hand makes more sense for us. So that's one answer, which means patience to do that, and we are ready to build that in a very serious way. And at the same time, the other element of scalability short term, of course, is Creed. As I mentioned in my presentation, this brand is very well positioned in this high-end segment. And by the way, this segment is growing -- is forecasted to grow by 10% to 15% CAGR in the next 3 to 5 years, whereas the prestige segment is around 3% to 5%. So being there and having Creed, one of the key players there where the penetration of Creed, for instance, in China or in Asia is quite limited so far or you've seen probably the launch of the very good women fragrance in the recent month that is a success as a launch. That's also another element of potential growth for Creed category on top of geography that will scale also our activities in the coming years. So patience to build a consistent business with the existing brands and scalability through Creed in the coming years.
Operator: The next question comes from the line of Thierry Cota with Societe Generale.
Thierry Cota: I'll keep that [indiscernible] on your 2 questions. First, business model comparison between Gucci and Saint Laurent. On your reporting and on estimates, both brands have similar EBIT margins, notably in H2 last year, similar gross margin, similar CapEx to sales ratios and sales per square meter. However, one is 3x the size of the other, and you target very different EBIT margins in the medium to long term or you were targeting around 33% for Saint Laurent and over 40% for Gucci, if I remember well. So on which cost line is Gucci less efficiently managed than Saint Laurent in your view and could be more efficiently managed, given its relative scale. And along with extra spend, is there a policy of cost cuts or efficiencies that could drive Gucci margin well above that of Saint Laurent in the long term in your view? And the second question is around M&A. We've seen press articles mentioning that Tapestry could partly finance its acquisition of Capri by selling Jimmy Choo and Versace. So would you be interested or not in adding new luxury names in your portfolio? And [ there'll be ] any comment on these 2. And on the other segments on beauty, you just discussed Creed at length. Do you have the right setup now? Or do you need more assets to rescale in the ultra-luxury segment? And lastly, in hard luxury. Could you do some M&A? Or is that not a target or not doable?
Jean-Marc Duplaix: I will start with the first question and also with just mentioning that after you, we will take -- after Thierry, we will take just one last question. Or 3 questions, as usual, except if we have an anarchist that would accept to just ask 2 questions. So your question is not an easy one, Thierry, and of course, I won't detail, if you don't mind, the full P&L of Saint Laurent and Gucci. But my answer will be quite simple. I think that the structure of Gucci has been designed for a brand that is above EUR 10 billion, while the structure of Saint Laurent, of course, has been developed and increased step-by-step and has been adapted to the size of the brand. And that's the reason why I mentioned before that 2024 for Saint Laurent, it's a year where we will continue to muscle the organization to target the new milestone. And you know that one of the milestones that Francesca described 2 years ago was the EUR 5 billion mark. So first, there is a question of absorption of the structure cost overall, and it's not a specific line. I could mention typically information systems. In terms of ratio, information systems cost at Gucci are above the one of Saint Laurent, but we could review all the lines, and we would have more or less the same situation. On top of that, in terms of sales density, while Gucci had higher sales density historically in the group, more recently because of what happened at the brand and waiting for the rebound of the brand today, we have a sales density, which is on par or slightly or lower than the one of Saint Laurent. So if we compare now to the square meters and the cost of the square meters, of course, it has an impact on the EBIT margin. So I think all this contribute also to this difference in profitability. I would also mention that in terms of product mix, clearly, so far, the product mix of Saint Laurent is more favorable so far. And what we should not forget also is that at the beginning, when you start to rationalize your wholesale distribution and your retailize, there may be some dilution at the beginning. So with more than 90% of retail distribution for Gucci with the recent internalization of some e-tailers accounts. It may have also diluted a little bit the profitability. That's the reason why -- it may explain why we're this profitability, which are very close for these 2 brands despite a difference of size.
Francois-Henri Pinault: Regarding the question, regarding the M&A activity of the group, as I said, the strategy is unchanged. Our top priority remains to invest in our brands to grow organically at brand level. So we have always had a strategy in terms of portfolio that is very selective. If you look at the back, the last 10 years since we became Kering what we did, it's a very limited addition that are very complementary with the case of Valentino, which brings a higher segment of customer, a higher positioning in the market. So the priority remains the brand. So we will, again, be very selective if some addition could make a lot of sense for the structure of the portfolio for reinforcing the portfolio in terms of, for instance, timeless brand that could complement the portfolio. Of course, we will look at it. But again, priority is not there. In beauty, we made this acquisition as a pillar of our strategy that I explained for the Kering Beaute project, but also for the brand itself, Creed. So we don't intend to make a significant acquisition in beauty. We have now to work and to develop Creed with the potential that the brand has going forward and also use, as I said, the synergies that are in front of us to speed up and put on the market our own brands in the beauty market.
Thierry Cota: And just on hard luxury. Is there any comment you could make?
Francois-Henri Pinault: Sorry?
Thierry Cota: On hard luxury, is there any opportunity you would look for? Or do you plan to expand or just focus on the plans that you have?
Francois-Henri Pinault: In high-jewelry, we're doing very well, and it's very interesting that you ask the question because that's the demonstration where high segments are growing very fast because we are growing very strongly. We are even overperforming most of the competitors in the last 2, 3 years. So we're doing -- of course, the scale is roughly EUR 1 billion, and we will continue to invest in the brand. Boucheron will enter the U.S. market this year. So it's another step of the journey of Boucheron, successful journey so far. So we will continue to invest in that direction in our 3 brands to continue to scale them because the potential is very high.
Operator: The next question comes from the line of Louise Singlehurst with Goldman Sachs.
Louise Singlehurst: It's great having you all on the call. I'm conscious of time, so [ I would just stick ] to one question, if I may. It's really about just going back to Gucci and the strategy going forward. If we think about the last kind of big growth era, there was a very specific focus on the millennials, the Gen Z, the younger customer. Can you just talk about Sabato De Sarno's remit or the task ahead. Presumably, this is about a lot more rounded across a broader spectrum of the cohort group from entry to the high end, but also the age group. And I just wondered about the strategy ahead for him. And if that clearly means a big capture of new customers to the brand rather than just focusing on the existing.
Francesca Bellettini: I'll take this question. It's always very interesting, and I'd like to answer 2 questions regarding the age of the clients because there's no brands, there is a strategy targeted to a specific age, but it's a strategy targeted to the desirability of the brand. When you work on the desirability of the brand, you attract several segments of customers. And of course, like I said before, the growth of Gucci over the past few years and the fact that Gucci has multiplied its revenue by 3 was driven by aspirational customers of all ages, millennial [ and not ]. There is not an age that identifies the aspirational clientele. Of course, you need to remain relevant with the younger generation because if you will, your brand and they are your future, but you don't have to have a specific strategy targeted to them. What I said that we're going to do is to grow all of the segment of the clientele at the entry, medium and high end and with a great focus on the higher end because it's a part that with the teams you control the most because it's mostly done by repeated clients and they spend the most into your stores. But at the same time, by working on the desirability of the brand, we expect all the segments to grow. The strategy of the team is going to be to focus on the desirability of the Gucci brand and the duality of the Gucci brand that is incredible to attract clients of every age and of every kind.
Francois-Henri Pinault: All right. Thank you. Thank you, Francesca. You had the last answer to the question. I would like to thank Francesca, Armelle and Jean-Marc. I hope you like my new team. I'm very proud of them. Thank you very much to all of you. Thank you to all of you behind the camera. Thank you for your question. Thank you for your interest in Kering. It's been a long call. So I have no doubt that you will have more questions. And of course, as usual, I will redirect you to Claire Roblet to answer your question. And Jean-Francois, myself and -- Jean-Marc, myself, we will see you during some roadshows. So we look forward to our next discussion with you, our next meeting with you. Have a great day. Thank you very much.